Masataka Kaji: Good evening, everyone. Thank you very much for taking precious time to attend Ajinomoto's Fiscal 2025 First Half Earnings Call. We thank you very much for your time this afternoon. I am Kaji of the IR office. I'll be serving as moderator. Let me first introduce the participants from the company. We have Representative Executive Officer, President and CEO, Mr. Nakamura; Representative Executive Officer and Executive Vice President, Mr. Shiragami; Executive Officer and Senior Vice President, General Manager of Corporate Division, Mr. Sasaki; Executive Officer, Senior Vice President, General Manager, Food Products Division, Mr. Masai; Executive Officer, Senior Vice President, General Manager, Bio & Fine Chemicals Division, Mr. Maeda; Executive Officer and Vice President, in charge of Finance and Investor Relations, Mr. Mizutani; Executive Officer, Vice President of Supervision of Frozen Foods, Mr. Kawana ; Executive Officer in charge of Diversity and HR, Ms. Kayahara; Corporate Executive General Manager, Bio-Pharma Services Department, Bio & Fine Chemicals Division, Mr. Otake. 9 members from the company are present today. For today, at the outset, Mr. Nakamura will explain the overview of the first half results for the year ending March 2026 and also the corporate value enhancement initiatives, after which we would like to move on to the Q&A session. We expect to finish the entire meeting in about 1 hour and 30 minutes. The materials to be used for today's presentation is already posted on the IR information site of our corporate home page. Please look at them as adequate. Please be advised that this session will be recorded, including all the way to the Q&A session to be posted on the company's IR site later. Now without further ado, we would like to begin the meeting. Mr. Nakamura, the floor is yours.
Shigeo Nakamura: Now I, myself, Nakamura, will make presentation. What I would like to talk about is 2 points. Both sales and business profit in first half of FY 2025 remained at the level of previous year, while progress toward the full year plan is slightly behind schedule, we are quickly addressing the issues faced in Q2 FY 2025 and aim to steadily achieve our forecast for FY 2025. In our efforts for further growth and evolution of ASV initiatives, we have identified issues, set out a direction for actions and worked out concrete strategies. We will evolve our activities to achieve the 2030 Roadmap and we'll tackle the creation of innovation to achieve sustainable growth over the medium to long term. This slide presents a digest of first half financial results of FY 2025. Sales was JPY 738.8 billion, nearly unchanged year-on-year. Revenue increased in Healthcare and others with the impact of the sale of Althea excluded as well as in Seasonings and Foods, but decreased in Frozen Foods. Business profit was JPY 86.7 billion, nearly unchanged from the previous year. Profit attributable to owners of the parent company increased 2% from the previous year. We are thoroughly committed to achieving bottom line profit as well. This slide shows an analysis of the changes in the business profit in the first half of FY 2025 and of FY 2024. The change in GP due to changes in sales decreased by JPY 2 billion due to decreased revenue. The change in GP due to change in GP margin in both the Food and Healthcare and others businesses contributed to improvement of the GP margin and GP increased by JPY 10 billion overall. In line with our 2030 Roadmap strategy, we'll firmly control SG&A expenses while undertaking investments aimed at future sustainable growth. This slide shows a year-on-year analysis of changes in business profit by segment for the first half. For reference, at the bottom of the slide is analysis of changes for the full year forecast from the previous year's results. In the first half, profit decreased in the Seasonings and Food and the Frozen Foods businesses. Profit increased in the Healthcare and others business. While progress appears to be lagging versus the full year forecast, we expect an increase in profit in the second half. Looking closely at the 2 businesses where profit decreased, the Seasonings and Foods was affected primarily by a profit decline in Umami seasonings for processed food manufacturers and oversupply in the market due to increased production and new entry by major Chinese manufacturers. In the Frozen Food business, key reasons for the decrease were the inability of home use frozen foods in Japan to fully meet the diversifying needs of consumers and the loss of mainstay product market share to private brands, et cetera, following price increases with the result of sluggish sales. Later slides will look at the current situation and our comeback strategy. In Healthcare and others, business profit increased significantly in the Functional Materials. Profit also increased in Bio-Pharma Services & Ingredients. This slide shows our forecast for FY 2025. Due to the shift of promotional activities for Frozen Foods in North America to the second half and expectation of a significant profit increase for CDMO business in the second half, sales and profits are projected to rise in the second half. In Umami seasonings for processed food manufacturers and frozen foods in Japan, as areas in which progress is behind schedule will act agilely to recover sales and profit in the second half. At the same time, amid positive market conditions, both sales and business profit in the Functional Materials grew to 120% of the previous year's levels in the first half. We will continue to accelerate growth in the second half. We aim to achieve our forecast for the group overall. This slide shows progress toward ASV indicators of the 2030 Roadmap in the first half of FY 2025. The organic growth rate remained 1.9%, but EBITDA margin steadily grew to 17.5%. These are the ASV indicators for each segment. This slide breaks down sales into volume and unit prices for Sauces & Seasonings and Quick Nourishment both in Japan and overseas with an analysis of change in business profit. Sales in Japan in the first half were 107% year before, and volume was 94% and unit price was 113%. Within this, sales of coffee grew to 120% versus the previous year due to price increases despite a decrease in volume. Consumer frugality increased and second quarter was also affected by extremely hot weather, but sales of Food Products in Japan, excluding coffee, exceeded last year's results, achieving 101% in overall sales with volume at 99% and unit price at 102%, responding to high raw material costs and the weaken with price increases. Overseas sales increased to 103% versus the previous year. Volume remained flat, while unit prices rose to 103%. Volume in Sauce & Seasonings achieved low single-digit percentage growth. In addition to Umami and flavor seasonings, both exceeding last year's levels in terms of growth and volume and unit price. We achieved solid growth for menu-specific seasonings. We realized unit price growth not only through price increases, but also by increased sales of high value-added products. On the other hand, RTD coffee, sensitive to economic trends, saw a decline in volume. In SG&A expenses, we focused investing in advertising to enhance our future brand value. As a result, business profit increased by JPY 2.5 billion, coming close to our full year forecast of JPY 3 billion. Now I will look at results by subsegment, beginning with combined overseas and Japanese results for the Sauce & Seasonings business. This business, a cornerstone of our group, is resistant to changes in the macroeconomic environment and is steadily growing sales. Business profit margin fluctuated significantly during the COVID-19 pandemic and in FY 2022 fell to the level of 10 years earlier. Due to soaring raw materials prices due to initiatives such as repeated price increases and increased sales of high value-added menu-specific seasonings and also introduction of new products, business profit margin in the first half of FY 2025 exceeded that in FY 2019, which was before the pandemic, we'll continue working to increase sales and profit margin to support the stable growth of Food Products business. This slide looks at Umami seasonings of processed food manufacturers. In the first half, revenue and profit decreased in MSG and nucleotides. This was mainly due to both increased production and new market entry by major Chinese manufacturers, leading to oversupply in the market. This business has suffered drops in profit in the past due to increased production by competitors and high prices of raw materials and fuels, we see the decrease in revenue and profit shown here as originating in a cyclical phase, not a change in business structure. We believe we can restore a business foundation that generates stable profits. Umami seasonings for processed food manufacturers is an important business that supplies main ingredients for B2C seasonings. In April this year, we established the MSG business collaboration promotion department as part of our Food Products business orchestration and further strengthen the linkage between B2B and B2C. By centralizing the management of B2B and B2C businesses to optimize company-wide operations, the MSG business aims to achieve sustainable growth and maximize profitability. We also actively engaged in protecting our intellectual property, including filing lawsuits against infringement of our MSG manufacturing patent, an intangible asset of our group to maintain our competitive advantage. We also use our proprietary technologies to enhance productivity and cost competitiveness. With these measures, we will secure our competitiveness and advantageous position to grow continually. Next, Frozen Foods. The issue in Frozen Foods in Japan is sluggish sales of home-use products. Strong performance continues in restaurant and industrial use products for which we have narrowed our product strategy targets and channels as well as in the Aete frozen lunch box within D2C services that meet niche consumer needs. In particular, Aete is expected to achieve growth with annual sales projected to reach billions of yen. However, our home-use products, which enjoy strength in mass production have been slow to fully meet the diversifying needs of consumers. Following price increases, our mainstay Gyoza products lost over 10 percentage points of market share, primarily to private brands. Amid increasing consumer frugality driven by rising living costs since September, we have been revising our pricing strategy under awareness that we have not been providing products at prices that meet the needs for cost effectiveness. Results have quickly become apparent. In September alone, following a strategy revision, we regained the top share with an increase of over 2 percentage points. By recovering market share, we will further increase points of contact with consumers to enhance corporate value for the Ajinomoto brand. In our mainstay Gyoza products next spring, we'll introduce revised products intended to balance product strength with profitability. We'll work to recover share and strengthen our profit structure. In the medium to long term, we'll reinforce the consumer perspective for Gyoza and for home-use products as a whole, expand a new lineup of products with those that meet consumer needs and revitalize the business. Heading toward 2030, this business will contribute to the growth of the Food Products business by increasing sales to a CAGR of about 3% and business profit to about 7%. This slide deals with Frozen Foods in North America. In the first half, both sales and profit declined year-on-year even on a local currency basis. The main factors are transient, the U.S. tariff policy and a timing shift in customer sales promotions to second half. We believe that we will be able to grow sales and profit in the second half. Our North American Frozen Foods is essentially a local production for local consumption business. However, some products are imported from group companies in China and have been affected by higher tariff rates. We have already responded with price revisions to these products and believe that we can improve profitability in the second half. Performance was also affected by the fact that sales promotions in large-scale distribution channels carried out in the second half of the previous fiscal year were not carried out in the first half of the current fiscal year and are planned to be carried out in the second half. The North American business structure has evolved into a stable one with structural reform and initiatives to expand TDC margin. While quarterly fluctuations may occur, we will solidly expand the business throughout the year and in the medium to long term. Previous slides looked at current status of the Food Products business and action taken. We recognize that in the first half, we faced the issues in the Frozen Foods in Japan and Umami seasonings for processed food manufacturers. We'll strictly manage these areas. As CEO, I recognize the importance of properly assessing the true nature of the issues. In addition to a return to growth through actions to address Frozen Food business in Japan and Umami seasonings for processed food manufacturers, we will achieve steady volume growth in the Food Products business overseas and with the recovery of profit margin to the pre-pandemic level in the Food Products business in Japan, we work to achieve the 2030 Roadmap. Next, about the Healthcare and other segment. I'll begin with Functional Materials. In the first half of fiscal '25, there was no change in the environment, i.e., the strong sales for AI servers, the recovery of PCs and general purpose services continued from 2024. Both sales and business profit grew year-on-year in excess of our expectations. Assuming no major changes in the environment, we expect to maintain strong momentum in the second half as well, sustaining a trend from the first half. We will work to grow our Functional Materials business, including in areas peripheral to the Ajinomoto Build-up Film by solidly fulfilling our responsibility to supply and meet demand by undertaking next generation and next-generation development within the ecosystem with the end users included. This shows the current status of Bio-Pharma Services CDMO by geographic area. Europe continues to perform well. India is also receiving many recoveries and contributing to profit. There's no change in the status of orders, and we expect this momentum will continue in the second half. The results for AJIPHASE in Japan are below the previous fiscal year. This is due to the shipments being moved back compared to the fiscal -- previous fiscal year when shipments were concentrated in the second quarter. However, the progress vis-a-vis the full year trend target remains unchanged. In the second half, we expect growth in AJIPHASE shipments and AJICAP to make a profit contribution. In North America, Forge is performing well, and I'll explain the details in the next slide. This slide is about Forge, the North American gene therapy CDMO that we acquired in 2023. Within the advanced medical care field of gene therapy, Forge has won the trust of customers and increasing its sales on the strength of its proprietary technologies. Projects are also progressing smoothly as sales grow dramatically and customers steadily increasing. The number of projects that have obtained IND approval, that is the U.S. FDA approval for the start of new drug clinical trials has also increased significantly following our acquisition. There are also projects aiming for early commercialization. Funds to cover the expenses of preparing for commercialization, which are scheduled for next year or later are being used earlier than planned. While this will weigh down short-term profit, we will pay these expenses ahead of schedule as investments to accelerate future growth and will aim for early commercialization. We will work to achieve the target of a positive EBITDA during the current fiscal year by doing our best to absorb these upfront costs through increased sales. And Mr. Otake, who is a member of the Forge management and well versed in on-site operation is present today, so we welcome your questions. AJICAP is a proprietary antibody conjugate ADC technology based on AminoScience. Our ADC drug discovery support services and manufacturing adopt an asset-light business model centered on AJICAP technology licensing. Last month, we signed 2 new AJICAP technical license agreements. One of these is with an undisclosed overseas companies and the other is with Astellas Pharma Inc. And we will continue to conclude new license agreements with companies in Japan and overseas with both major and venture enterprises and will contribute to develop AJICAP as a growth driver. With the aim of maintaining financial soundness and maximizing capital efficiency from 2025, we are changing our fiscal discipline indicator from previously net D/E ratio to now net interest-bearing debt over EBITDA ratio. We will continue to keep our financial leverage at an appropriate level, one that can contribute to organic growth and capital efficiency. Operating cash flow in the first half fiscal 2025 was JPY 93.2 billion, about JPY 11.5 billion higher than the first half of 2024. We will continually strive to improve our cash generation capability. As reported in our recent release on the construction of a new factory in the Philippines, we will steadily invest to grow organically, and we will also promote -- proactively invest in intangible assets that can create innovation. These are the key management indicators of our midterm ASV management 2030 Roadmap. We will aim to steadily achieve the guidance for fiscal 2025. Based on our foundation of sustainable business growth, we are working to further strengthen our cash generation capabilities or our earnings power. Building upon these achievements, we are promoting resource allocation with a focus on capital efficiency in line with our Roadmap. To further improve capital efficiency, we are actively implementing shareholder returns and striving to enhance our corporate value. In addition, we remain committed to achieving the goal set out in our Roadmap of tripling EPS in 2030 compared to the 2022 level, and we will make -- we will continue to make steady progress towards this target. Based on this approach, in addition to the JPY 100 billion share buyback announced on May 8, we are pleased to announce a new share buyback program of JPY 80 billion with the acquisition period starting from December 1 and until November 2026. Going forward, we will continue to enhance shareholder returns as we strive to further improve capital efficiency. From this slide, I would like to talk about the progress of our initiatives aimed at further growth of the Ajinomoto Group and the evolution of ASV initiatives. After I took office as CEO, we implemented a 60-day program from April to address the issues identified through cross-water analysis and constructed a framework for identifying management issues and clarifying the responsibility and what actions to take. The outcome was that we were able to lay the groundwork for change. Since July, we have discussed concrete strategies and actions based on this framework in what is called the Ajinomoto Group Executive Seminar or AGES, with a focus on executive training for all executive officers, corporate executives and corporate fellows. And the content of this is described on the next place onwards. At the AGES meeting, we discussed 7 topics. We first focused on the creation of the new businesses that will drive our mid- to long-term growth, and we discussed concrete strategies and actions in 4 key areas: health care, food and wellness, ICT and green. In the future, we will deepen discussions from the angle of 3Cs: continuity, change and challenges. I recognize that creating new businesses that comes after ABF is my duty as CEO. And I will establish an R&D budget that we can flexibly utilize, and I will leverage my experience of commercialization APF to nurture the seeds of new businesses. At the AGES, in addition to the 4 topics that I mentioned, we discussed 3 other topics aimed at maximizing management's resources, strengthening corporate brand, strengthening global management structure, strengthening data-driven management. For example, with respect to strengthening corporate brand, we examine the ways to increase brand value and so that it can lead to business expansion, taking into account the different conditions in each market and regions. Furthermore, to strengthen data-driven management, we will further promote the advancement of management through the utilization of data. We will confirm our progress on these topics at the Executive Committee meetings and lead it to actions. Our group will work as one to increase our corporate value. The Ajinomoto Group is working steadily to achieve our 2030 Roadmap by evolving our ASV initiatives while making regular course corrections to our medium- to long-term plans and group-wide strategies aimed at addressing the management issues. Also drawing on the discussions at the AGS meetings, we plan to begin discussions of our long-term vision during the current fiscal year, which is 1 of the 7 important management matters for the Board of Directors, and we'll make those discussions on the starting point for the post-2030 by looking at our strategy for achieving the 2030 Roadmap with the post-2030 plan. And by agilely making course recorrections, we will drive innovation and endeavor to create new businesses that can come after ABF. Here, I intend to demonstrate the leadership as positive energizers promoting this linkage. Next, about our human assets. Human assets are the most important intangible assets for the Ajinomoto Group. We are currently in the phase of strengthening our ability to plan and execute. The evolution of our human assets organization and corporate culture is vital in supporting this. During the time of former CEO of Fujie, we broke down the silos in Japan and achieved growth for the group. During my time, we will advance global integration and aim for further growth. Towards this end, we will appoint diverse human resources regardless of gender or region to overseas assignments or key positions. We will also develop career paths that cut across business departments such as Food Products and bio and fine chemicals and functional departments such as technologies and sales to achieve further diversity, evolution into a truly global company. That is the future that I envision for Ajinomoto Group. The preliminary scores for the 2025 engagement surveys are shown here. For ASV realization process, there were increases in every category, a 2-point increase from the previous fiscal year to 78 points. The score of empathy for our purpose rose to 94 because of the activities to promote empathy with our philosophy, which tie the purpose of individual employees to the Ajinomoto Group's purpose, contributing to the well-being of all human beings, our society, our planet with AminoScience. We see this increase as an indication that activities are steadily taking root throughout the group. The score of enhancement of productivity, which has been an issue, improved by 9 points to 28. Although the score remains low, we added a new question this fiscal year. I believe the unnecessary approvals are kept to a minimum in my daily work when making decisions. This question received a favorable response score of 78. While there are still many approvals required before decisions are made, we have confirmed that a certain number of employees do not necessarily perceive these approvals as unnecessary. We will continue to analyze the engagement survey and work towards further improvement. Innovation for the future is created by our human assets. Through the creation of ASV, we will strengthen our human assets and aim to become a company that can continue to create new innovation. This is the last message for myself. Even in an uncertain environment, we will properly recognize change, respond quickly and aim to achieve our 2025 guidance in a steadfast fashion. We will endeavor to achieve the 2030 Roadmap ahead of schedule through sustained growth in the Food Product business and dramatic growth in the Healthcare and others business, always maintaining a healthy sense of urgency. Aiming for growth beyond the 2030 Roadmap, we will further enhance corporate value by creating concrete strategies for realizing a vision and by sustainably driving new innovations. I believe that creating new innovation is my duty as CEO. The assumption that the present state will continue is the most dangerous thing that we could do. By always maintaining a healthy sense of urgency, we will sustainably grow the group. That's all for myself. Thank you very much for your attention.
Operator: [Operator Instructions] The first question, Saji-san from Mizuho Securities.
Hiroshi Saji: On Page 38, full year segment numbers, how to look at this? In first half so it was flat mostly. And the full year forecast has remained unchanged. So you have -- you are increasing -- expecting a significant increase in second half? As for CDMO in Healthcare, there's a good response. That's what you have explained. But especially for Seasonings and Sauces and Frozen Foods, I think this is quite deviant from the plan in the first half. So in the second half, to what extent you see the viability of your forecast? What will be the driver for increased numbers in the second half?
Shigeo Nakamura: Can you -- do you want me to explain the second question? Well, thank you very much for your question, Saji-san. For the full year forecast, we haven't changed. In the first half, in the food business, the Umami seasoning for processed food manufacturers has seen a decline in profit, and there was an extreme heat in Japan. And because of a shortage of rice, there was some decline in sales and profit, but we have to provide some 9, 10, 11, they are all performing well. So we can increase the months in the second half. So for Bio and Fine, Maeda will explain.
Sumio Maeda: First, as for food business, Masai will answer the question. So let me give you more details. First of all, as for Seasoning and Food, there will be 50 more in the second half compared to the first half. That's what you had asked about. As for Seasoning and Foods, there's B2B and B2C, and this is the total sum that we're talking about. As Nakamura said, especially for Umami seasonings for processed food manufacturers was quite challenging in the first half. So how to recover this is what I'm going to explain. And then I will talk about home-use seasonings. In the Solutions and Ingredients division or B2B business, the following 3 are the differences between first half and second half. The first one, is the special factors, extraordinary factors. So this year, Brazil Ajinomoto, the largest site for us in Brazil, in the first half, MSG new technology introduction was prepared and construction work was done, but we got stuck and introduction didn't go well, and we struggled slightly. However, this issue has been already resolved. So in the second half, from the beginning, we can expect increased production because of this new technology introduction. So this will go well, and this will also lead to cost reduction. That's the first one. And second one, the North America, in the retail, there is a loss of a major customer, but this can be made up for. So this will be -- there will be a recovery in the second half. In the fermentation, the raw materials are going to be below budget in the second half. That's what we're expecting. So we are seeing signs of recovery in the second half for B2B because of those 3 factors. And as for home-use, B2C, especially in Japan, there are several points that I'd like to emphasize. First of all, as you know, our seasonings food is strong in winter. And ahead of the peak in the second half, there's a very favorable environment that is being built up. Especially what is important is [ HEF ] coffee and there's a lot of recovery signs and green beans or the raw material prices are going up. But overcoming that, this business has started -- has been set up in first half, and this will be carried over to second half. So AGF will be in even better position in the second half. And usually, the sales promotion expenses are recognized in February and March, but we have intentionally distributed and evened out this sales promotion expenses in the first half. So this will be favorable in second half. And in first half, mayonnaise, which is one of the major businesses for us, the competitors in mayonnaise has run centenary anniversary campaigns in a large scale. So we struggled because of that. But from September and October, we have been successful in recovering our share. So this will be all reflected as it is in the second half. And last but not least, in last year, there was a large-scale sales promotion for Umami seasonings, that went well. But in the first half this year, we were below the last year's level because customers have bought a lot, and there was a home inventory that was built up, but this has been resolved now. So we can see a recovery in Umami seasonings in the second half. There are many others favorable points, but that's why we are expecting recovery in the second half of seasonings.
Yoshiteru Masai: Thank you very much, Saji. As for Bio, Fine, just I'll be very brief. On Page 38, it's JPY 17 billion increase. But if you go back to JPY 4.2 billion ahead of the last year's and only JPY 4.2 billion improvement in first half, but JPY 17 billion in second half. So in '24, in Q2, there was a peak. But in fiscal 2025, in Q4, as Nakamura said, we'll see profit peak. So JPY 17 billion improvement from the previous year against the budget, as you can see in the material, Bio, Fine and Healthcare after first half, 48% progress against profit budget for the full year. So there will be stronger profit in the second half. So 48% in the first half and 52% in the second half. So this will be how we can match the full year forecast.
Hiroshi Saji: This will be leading to the second question. So the Umami seasonings for processed food manufacturers, I think there was a JPY 1.4 billion profit decline. So there were some troubles or a challenging environment in the past. So Meihua has already announced like 10,000 ton class production capacity increase. So there could be a sustained oversupply next year. So with this seasonings, is there any prospect for recovery for the second half? Is it really realistic to expect recovery?
Shigeo Nakamura: So Masai will continue to answer that question.
Yoshiteru Masai: First of all, there is a mid- to long-term prospects and also short-term issues. As for MSG, including nucleotide, the Chinese manufacturers increased production capacity was started in 2023, 2 years before. And from that timing on, we have been quite concerned and taking actions, as Nakamura said. This Umami seasonings, we have combined B2B and B2C businesses and centralized management was considered to be important. So MSG collaboration promotion department was established. So we struggled with the production capacity increase by Chinese manufacturers in amino acid in the past. But MSG and amino acid, the biggest difference between these 2 is that in MSG, in Ajinomoto Group, there is internal sales within the group, and that proportion is quite high. More than 70% of MSG is intra-group sales. So home-use Umami seasonings or flavor seasonings are expected to increase steadily. So in the long term, this internal sales proportion of 70% is going to be raised to more than 85% by 2030. And that is our plan. And also going forward, even if prices are increased, fortunately, there are customers that want to buy from Ajinomoto. There are so many customers that say that. So because of those 2 factors, in the mid- to long term, even if there's a continued competition from Chinese manufacturers, we are seeing the environment where we can compete. And in the short term, there are various actions to counter competitors in this MSG collaboration promotion department. And one of them is what we announced on October 14 as a press release. Our Chinese competitors have infringed upon our intellectual property rights, and we have taken action. And this will break -- put the break on export increase. And as for nucleotide, we are planning various initiatives to counter the competitors. We can't say everything here, but organization on a systematic basis, we are taking actions against competitors. So please feel assured. Especially for the short term, as I said, in Brazil, this new technology introduction will contribute in the second half to the profits. And in the short to midterm, there will be new technology introduction that will be done in various factories around the world. So there will be a long-term recovery in MSG business.
Operator: Now moving on to the next question. This is from Goldman Sachs. Miyazaki-san, please begin your question.
Takashi Miyazaki: This is Miyazaki from Goldman Sachs. I also have 2 questions. The first question, from the first half towards the second half, you just talked about the trends. According to the presentation material, strategic expenses -- strategic investments, you said that there are several initiatives implemented for strategic purposes in the first half already. You also talked about SG&A on Page 5 and also the Frozen Foods structural reform-related initiatives. And for Forge towards commercialization, you talked about investments and expenses for commercialization. So are there some one-off things that are incurred in the first half only, but not in the second half or something that will not incur in the next year? So what is the amount of strategic spending and how much in which area, if you can explain that?
Shigeo Nakamura: Thank you very much, Mr. Miyazaki, for your question. As you rightly pointed out, SG&A changes are presented on Page 6. And roughly speaking, personnel expenses, marketing spend, R&D investments, those are recording increases. Besides them, separate from them, DX-related and AI-related system investments have been made. And this relates to licensing fees. So these expenses are likely to continue in the future. Regarding the expenses for bringing forward the commercialization of Forge, this is a one-off expense for commercialization. So this is not going to be recurring. Anything to add, any members? Is there anything to add?
Unknown Executive: No, thank you very much for that. Yes. On Page 20, as you can see on Page 20, the IND approval, this is, I think, pleasant cry, but this has happened much earlier than expected. So you have to produce larger quantity than expected. So this, I think, is a one-shot expenses for commercialization related including consulting expenses. I think as Nakamura mentioned, so those one-off expenses have occurred in the first half of this year, and that had an impact on the performance.
Takashi Miyazaki: Okay. I just wanted to confirm, so Forge-related expenses, it's difficult for you to quantify. Is it difficult for you to quantify? And also for the personnel expenses on Page 6 and marketing spend and DX related? Those investments incurred in the first half of this year and those are likely to continue and be recurring in the future as well. Is that the right assumption?
Shigeo Nakamura: The Forge-related expenses is not disclosed, but that was quite a hefty amount.
Takashi Miyazaki: Okay. I understood. Okay. and the remaining expenses are likely to continue in the subsequent years according to my interpretation. And the other one is Functional Materials related. So I have a question relating to Functional Materials. In the second quarter compared to the first quarter, I think the sales was slightly declined, but still be higher than the target and the plan and the profit margin was higher than the first quarter in the second quarter. So I think you are seeing a favorable trend here. So as in the second quarter, can we expect a favorable performance comparable to the first half?
Shigeo Nakamura: For semiconductor overall, I think the demand and also your competitiveness in the market? I'm not worried about these factors. But ABF packages, for example, there is a restriction in the supply of some of the components. And because of that, the demand for ABF was dragged by that. And I think the demand has come down -- will likely come down.
Takashi Miyazaki: Do we have to anticipate such kind of risk? So can you talk about the second half and towards the next year? What is your recognition? If you can update on your recognition of this business?
Shigeo Nakamura: Thank you very much for the question. As I explained earlier, the AI-related demand, high function semiconductor is enjoying great demand, and I think that is the most advanced products. So therefore, the gross margin is high, and that's the reason why we are performing like this. The semiconductor WSTS, World Semiconductor Trade Statistics, WSTS, this is an indicator used in the semiconductor business. On June 3, it was not updated, but the calendar year logic IC growth was plus 23.9%. That was the expectations back then. And I think we are close to 20% growth is already shown here. So we have been able to enjoy growth as planned. In calendar year 2026, this is going to come down to 7.3% according to WSTS projection. We believe that is too conservative. That is rumored to be too conservative, but there might be some factors behind that. It's impossible for us to comment on the supply situation of other components. But according to what we hear from customers, in the second half, we expect a favorable performance in the second half as well.
Takashi Miyazaki: Okay. Then let me confirm. So the -- set aside the components of other companies, I cannot -- I don't want to ask that. But as you have been engaged in communication with your customers from before and according to that conversation, you have an outlook that is expecting a favorable growth?
Shigeo Nakamura: That is correct.
Operator: Next, from English webinar, there is a person who wants to ask a question. Bernstein, Mr. McLeish, please.
Euan Mcleish: Just following on from the ABF question there. Can you confirm that you're not seeing any negative impact at all from downstream production bottlenecks at this stage? Is that the right understanding?
Shigeo Nakamura: Thank you very much, Mr. McLeish for your question. So in terms of first half growth, well, if there is more needs, then it could be settled down. But with regard to the growth in the first half, we can continue on with that pace of growth in the second half.
Euan Mcleish: Okay. And then over in the domestic food business, we've seen that coffee bean prices have been declining for almost 8 months now. When do you expect that to benefit your margins? And how does this change your coffee portfolio strategy in Japan going forward?
Shigeo Nakamura: Well, as coffee beans procurement lead time is long, 6 months to 1 year is the contract period. So the most recent coffee beans lower prices will be reflected at the lagging timing. So I'd like to let Masai answer the question.
Yoshiteru Masai: Masai speaking. Let me answer the question. Actually, -- so there is some time lag, but in actuality, AGF coffee business from this first half compared to the previous year has been making more contribution to profits. So there's no detailed breakdown. But if I may say, in Japan, in this page on the left, so plus 0 compared to last year as this graph shows. But in the coffee business, actually, in the first half alone, compared to the previous year, more than JPY 1 billion profit increase was recorded. So then you may ask what are the negative businesses that are offsetting that. So let me make some comments. So in this graph, it's not from the apple-to-apple comparison perspective, from this fiscal year, part of the common fee has been allocated to the business units. So about JPY 600 million has been paid for by the business units. So excluding that, then in the previous fiscal year, plus 0 is shown in this graph, but actually plus JPY 600 million or JPY 700 million is actually -- would have been shown. And then part of that is borne by coffee business. And there's JPY 600 million negative numbers in other business. But at least for the coffee business, there is significant signs of recovery that is manifesting in coffee business. So I'd like you to understand that way.
Operator: Now moving on to the next question. Morgan Stanley MUFG Securities. Miyake-san, please.
Haruka Miyake: This is Miyake from Morgan Stanley. I'm sorry, I have a sore throat, so maybe it will be difficult for you to hear. The overseas seasoning -- food and seasoning for processed food, I just wanted you to give me so much color regarding the changes. If you look at the Page 11, as far as I look at this, the SG&A increase is a major factor behind the changes that is diluting the revenue growth. So if we look at this by region, S&I is also included here. But if you just single out the second quarter only and talk about the Sauce & Seasoning altogether, there was a decline of JPY 1.8 billion in revenue. So the seasoning for processed food accounts for JPY 1.4 billion out of that, I believe. But the raw material prices is also decreasing for fermented food. And also you have increased expenses, you said. But if you look at the general trend of revenue, the July, September quarter, I think the trend was strong. So if you could just talk about the profit performance driven by revenue growth. And also, if you can divide between consumer and also the restaurant channel demand and how have they affected the decline in revenue by those different channels?
Shigeo Nakamura: Okay. Thank you very much for the question, Mr. Miyake. For overseas, first, SG&A. In order for us to increase the brand value, we have made intensive investments for the brand investment. And if you look by segment, the volume is not increasing in Thailand, and that is due to the coffee bean raw material price increases, and therefore, the coffee drinks, beverages in Thailand did not increase so much in terms of volume vis-a-vis the competition. And also instant noodles due to geopolitical reasons in Cambodia, those exports that we had made in Cambodia did not grow as much. So those are one of the factors behind the revenue performance. And maybe Masai-san can add some more comments.
Yoshiteru Masai: Thank you very much, Miyake-san, for the comment -- for your question. I would like to supplement. As Nakamura-san just mentioned, in addition to what he just said, I would like to add that, as you rightly pointed out, in fact, the situation was difficult in some regions, especially for overseas home-use business. What are the challenges? And in the second half, what are the countermeasures that we are going to implement? I will have to talk about that. Especially in the ASEAN region, the Asian regions, there are 3 points that I would like to share with you. For the Umami seasonings, home-use, because of the competitor in China, there was an indirect impact from this Chinese player because this competitor, they are -- they have been using China. So that's the reason why we are affected by them. And China's players, they are also engaged in a B2C business. So they are a direct threat for us as well. So against this, we have been trying to reinforce our sales. We have taken a meticulous look at it and leveraging our strength, i.e., the strength -- our sales rep strength. We are trying to counter them and fend them off, especially in Nigeria, in Myanmar, we have struggled in some of these markets, but we are seeing the recovery trend already. So I think this will have a positive impact on the second half performance. The second was the flavor seasoning. Flavor seasoning previously, mainly in Europe, there was a global competitor, and that was the main player in the past. But recently, in many ASEAN regions, we are seeing the emergence of local competitors competing directly against us because they are stepping up their activities. The way of combat is different. So therefore, we were confused a little bit in this first half, but we have analyzed already, and we now see how to compete against them. So the competition with the local player is going to be a key factor in the second half of the year. For instant noodles, Mr. Nakamura already mentioned that and talked about Cambodia. But if I add one more comment, another thing that I would like to comment on is Latin America. Latin America, instant noodle is performing quite well. Having said that, however, the production facility is located in Peru, and there is a shortage of production capacity, and that's the reason why we are not able to sell the quantity that we intended to. But we have completed the construction of new line in September. So we are now already pressing the accelerator. So the produced the instant noodles produced in Peru is now expanded sales in other markets, in the peripheral market. So although we struggled a little bit in the first half, but I think these efforts will begin to bear fruits in the second half of the year. For processed food, I've already commented, and I think that will be overlapping. So I won't comment on processed food anymore.
Haruka Miyake: And regarding Brazil, you talked about the introduction of new technology, and you struggled in the initial introduction of the new technology. In terms of expenses in the first half, especially in the second quarter, was there any cost associated with that?
Shigeo Nakamura: Thank you. That's correct. Yes. Exactly. With the introduction of this new technology, we were not able to produce. So meaning that we only had to incur these fixed expenses. So that had a weight on the cost. But that is not going to be the case from October onwards. So this will have a positive impact on the performance of the second half onwards.
Operator: Now let us move to the next question from Daiwa Securities, Igarashi-san, please.
Shun Igarashi: I am Igarashi from Daiwa Securities. I have 2 questions. First question, you talked about ABF and to the question of ABF, in the next fiscal year, the numbers look a bit lower, but the major players are coming up with new chips. That's what we heard. So unit price could increase or area could increase. So this could accelerate your growth. Isn't there such expectation that we can have? Can you elaborate on that?
Shigeo Nakamura: Thank you very much for your question, Igarashi-san. In terms of statistics, as I said, this is from June and industry is on the conservative side. As you said, each player is coming up with new products. And if you look at our customers, their investments are going well, and there will be more plants that are coming online. So for us, the growth in the statistics is not realistic in our view. So in terms of volume and unit price, you believe that the numbers will be accelerated? Well, for the cutting-edge technologies, the best mix with the cutting-edge products are coming out. And Ajinomoto Fine-Techno Gunma plant, we made investment and that production equipment will have the latest version for AI applications. So what you said is right.
Shun Igarashi: And profitability rate in first quarter, you hired people aggressively and profitability lowered. But in the second half, there was a recovery. So is there any changes in the policy?
Shigeo Nakamura: Well, we are growing. So we have -- the personnel expenses are increasing and the Gunma new plant has come online. So there will be depreciation costs that will be incurred. So there will be profitability that will suffer a bit. But in terms of cutting-edge semiconductors like AI chips, the products with the better mix are being launched and sold earlier than expected. So that has helped us improve profitability.
Shun Igarashi: The second question, the frozen food business in America. So if you look at the profit decline in the second quarter, that seems to be larger. In Slide 16, the tariff has impacted and sales promotion timing, those were the 2 factors you mentioned. Were they all transitory and tentative? And can you see a recovery and also product initiatives like pricing strategy that you talked about in Japan, but in the North America, what are the initiatives that you have in mind specifically?
Shigeo Nakamura: So as you said, so the tariff policy in the U.S. and the customer sales promotion timing that have been lagged. Those are the 2 main factors in the U.S. There's nishiki gyoza, that is a premium, and it is performing well and major retailers are having those in the stores in the shelf. And so things are going well. So Kawana will make more comments.
Hideaki Kawana: So as Nakamura said -- so with regard to tariff policy, the price increase will be a bit delayed. So there is some impact, but there are some production disruption. So those are all tentative factors, so we can make a recovery in the second half in our view. And as for sales, as was said, nishikino gyoza and the shumai dumpling, they are all delivered to our customers, and we can expect sales increase from there. And also previously, in the food service, we are not selling too much in Asia. But now the shift is for Asia. So there could be more profit margin expected. So we could be more positive in the second half.
Shun Igarashi: What about the production disruption? Has it been resolved?
Shigeo Nakamura: Yes, this has been completed.
Operator: Now moving on to the next question. UBS Securities, Ihara-san.
Rei Ihara: Can you hear me?
Shigeo Nakamura: Yes, we hear you.
Rei Ihara: Ihara from UBS Securities. I also have 2 questions. First, regarding domestic Frozen Food business structural reform, you previously mentioned that you're going to announce your structural reform program, and you did already. But this did not live up to our expectations because, to be honest with you, the second quarter Frozen Food business' profit margin is less than 1%. And then 3% of sales and profit growth of 7% CAGR, that is not going to be a strong impact in any event. And even if the Frozen Food gross profit margin is returned to the pre-COVID era, still that level in the first place is low. So this Frozen Food business in Japan, I think you are at the phase of having to go through a structural reform. With a shorter time horizon, can you take any actions in a shorter time frame? That's my first question.
Shigeo Nakamura: Thank you very much for the question, Ihara-san. For the Frozen Food business, drastic reform, well, we have been engaged in structural reform all the time and the integration of our production facilities, manufacturing centers and producing multiple products in a single line. And through these efforts, we try to improve the production efficiency. And also, we have focused on delicious food and launched Gyoza products and so forth. This time around, we have conducted a price hike that does not match with the customers' perception for value. So not only this deliciousness, but we have also decided to focus on affordability and release products -- Gyoza products. So we changed our strategy in that regard. Maybe that will not be conducive to profit margin. So we would like to provide different levels of products. So on one hand, we would like to focus on cost performance, but also time performance and health value and experience of cooking. So we will produce and prepare different menus, different pricing ranges so that we can optimize overall. So the highest productivity -- highest product will be the ready-to-eat with microwave heating only. So those are kind of products that are already available. So wherever possible, we would like to generate profits with all these 3 different patterns of categories. And as I mentioned earlier, Gyoza is a touch point of ours with many different customers. So because Ajinomoto is known for the delicious products, we would like to have customers try many other food products that we offer. So this is a touch point to enhance our brand value. So we are not really complacent with the low profit margin, but I think this offers additional value, not only the prices. Then Kawana-san can add some comments if necessary.
Hideaki Kawana: Thank you. I'm so sorry for the concerns that you have. As I mentioned, the growth overseas is larger compared to the Japan growth rate. So that's the reason why we have shifted the focus of resources to overseas. And we have tried to improve efficiency of Japan as a cash co, and that's the reason why we were related in structural reform. There are 2 major challenges that we are facing today. One is that the market is diversified much more than before. So in that environment, the traditional approach of selling only to the mass market will deprive us of some segments like the Gyoza product that we have today is tuned towards the mass market. So the biggest audience -- we are trying to sell the products to the largest audience. But in the current contemporary age, there are more diverse needs, people who want a larger with greater meat portion gyoza, that's taken by other competitors. And there are some other people who want something affordable gyozas, and those are taken by PBs and PB brands. So we have been taking away the market share for different needs of Gyoza products. So in order to address this, previously, we focused on this production efficiency, and we focused on the single products, and that was the reason why we were not able to address these needs, and that has diluted our profit margin. We are now currently going through a reform and so we would like to look into different lineups and have a more broader range of product lineup. So we had this business lineup, but now we look into a different portfolio for different categories of products and thereby improve the utilization of the factories. Fortunately, in October, we have seen a very steadfast growth. So I think you can be reassured about that. The other thing that I wanted to address and the other challenge that we are facing today is that in the market, the frequency of people cooking is now declining in the market. And we have been selling complete meals and staple foods, not only the ready-to-eat meals. And that is the trend that we are seeing in many other industrialized markets. So we were belated in addressing these needs. So we now have the Aete products. So we would like to focus more on the meal products going forward. As we started this initiative, we believe that this is an area where we can leverage our strength, the design of deliciousness, the design of new nourishment, I think we are very good at that. So I think depending on the preferences of the customers and health conditions, we are able to customize. So we realize that we have the strength. So in these areas, we would like to achieve growth in the future.
Rei Ihara: Okay. Understood. So my second question, if I may, the share buyback. This year, JPY 100 billion share buyback is already ongoing, and you have additionally announced another JPY 80 billion program this time around. So JPY 100 billion plus, I think, is going to be the size that you are going to address for share buyback per year -- per fiscal year. But if it's JPY 110 billion this year and again next year and then the year after that, if you continue this, the net debt-to-EBITDA ratio will be lower than 2x. I think you can continue that. But the net D/E ratio with more leverage, I think that will have a detrimental impact on your financial leverage according to what I think. So this share buyback program, do you think this can be sustained? If you can comment on that, that will be appreciated.
Shigeo Nakamura: Thank you very much for your question. This is on Page 26. We have this cash management policy on Page 26. Of course, the cash that we generate will, of course, be first allocated for investment for organic growth so that we can properly grow the company. Then we'll look into M&A, other inorganic opportunities and the share repurchase is the third priority. So this is the cash management priorities that we have. And on top of this idea, we have decided on the share buyback program this time around. Mizutani will explain in more detail.
Eiichi Mizutani: Thank you very much, Ihara-san, for your question. As Nakamura just mentioned, this time around, this share buyback period, if you look into that period, this will end in November 30 next year -- on November 30 next year. So this includes the repurchases planned for next fiscal year as well. And if you can go back to Page 26, this is the cash allocation policy that we have. And at the bottom, you see on the right-hand side, we will shrink to JPY 900 billion as for the cash balance. So the current cash balance plus the JPY 90 billion, if you look at that, the extra things -- because we would like to improve the capital efficiency with this new decision. And the profit that can be spent out for dividends, we'll look into that as well and also manage the debt. We will look at the leverage level. So I don't think you have to worry about that. So that's all for myself.
Rei Ihara: But like JPY 100 billion, if you wanted to buy back with a 6-month period, and I think this is -- this period is going to get over shortly. And this JPY 80 billion is going to be done over a 1-year period. If you look at things from that angle, your capability for share repurchase, given that your leverage is now increasing, I think the leeway for additional repurchase is now coming down. Don't I have to be concerned about that?
Shigeo Nakamura: Well, again, at the risk of repeating myself, this program will last up to November last year -- next year. And the budget for next year is not formally decided yet, but we have some assumptions for next fiscal year, and we will make sure that the leverage will not be over this level. So we are properly managing that. So I hope that you understand that.
Rei Ihara: But the market participants, not JPY 80 billion, but I think they are looking at the level next fiscal year on top of this. I just wanted you to be mindful of that. So that's all from my side.
Operator: Now next question from JPMorgan Securities, Fujiwara-san, please.
Satoshi Fujiwara: Fujiwara from JPMorgan Securities. I'd like to ask this question to Mr. Nakamura. It's not about specific segments, but in the financial results this time, honestly speaking, it seemed negative and disappointing slightly. That's a fact in various businesses, there are some problems that we are seeing. And as we listen to the presentation, you say that these are all tentative and you can do better in second half. So this could be assuring, but root cause is Japanese -- Chinese players and more intense competitive players' activities. So maybe you have to revisit your management in the core. So the response speed -- I think your company has been quite quick in responding to the changes, but you may have to accelerate that in order to tighten up your management. That may be necessary. So how to run your business? Can you give your thoughts on this as President, Nakamura-san?
Shigeo Nakamura: Thank you very much, Mr. Fujiwara-san. Well, this time, there is a healthy sense of urgency that we have. So as much as possible, we have to earn and those business that are growing are growing. But as you said, because of competition from Chinese players, we have been a bit late in responding, as Masai said, but however, in the short term, we have taken actions that we were able to take. And as for mid- to long term, we have instructed business units to accelerate. So it's not exotic materials, but those products that are weakening, including Frozen Food, so successor development has been instructed to Ajinomoto Frozen Food. So we have to increase the speed to even higher level. And we have to be strongly aware of the competition. And that's what we -- I have been saying in my dialogue. So Chinese players more recently have been gaining momentum. So I talked to Korean customers, and I talk about this to our employees and there are 3 impossible or unknowns. You don't rest, you don't go home and you don't sleep. That's what they say about Chinese. But -- and they have 3 shifts, and so they are catching up with Toyota Motor in terms of EV. That's what we are -- I am telling our employees in dialogue. So we have to look at the global environment, and we have to compete with the players around the world. So we have to keep this sense of urgency.
Satoshi Fujiwara: There's another question. So I'd like to ask one more question, if I may. In the Frozen Food, I do understand what you have taken as actions. But as for home-use, other than Gyoza, there are other categories. And compared to competitors, your competitiveness is not that high in my view. So for those categories, you may have to narrow them down further like Gyoza or restaurant, industrial use dessert. So you have to focus more on those where you excel strongly and then you throw away other categories. Isn't that the risk that you can take?
Shigeo Nakamura: As Kawana said, as for Gyoza, in a single production line, there will be multiple products that are coming out. So shoga, ginger gyoza and miso paste gyoza have been launched on top of the regular gyoza, and they're selling well. So in the current production line, we can create some products in terms of different SKUs that will sell. And as for dessert, as you pointed out, this is something that we can focus more on. And the frozen food without meat through desserts, there is some qualification for exports or a profit for exports. So we are planning to also consider the potential exports from dessert. So if there's any more comments from Masai?
Yoshiteru Masai: Yes. Thank you. So as for dessert, on our part in Ajinomoto, as Ajinomoto Group, what produced in Japan has not been exported too much. But we had a sense of urgency now. So Ajinomoto and Frozen Food, AGF, this is a common issue. So as of October 1, export promotion department was established. And what is going to be the main points in this is frozen food dessert. And so these activities will be done and gyoza and dessert were pointed out by you, but I totally agree, and we would like to focus our resources on those. And for the question that was asked previously, so structural reforms may look a bit weak compared to others. And I'd like to just make more comments on that. So subsequently, what we found and thought was that the actions taken against competitors. And from that perspective, especially the competitors in Gyoza and Frozen Food are not just Japanese players. So Japanese structural reform is important, but we have to have more global perspective to compete. And so Japanese structural reform is necessary, but we have to make more investments in Asia, and that's what we're considering. So as we do structural reforms in Japan, at the same time, for Gyoza and Frozen Food, we are taking actions against competitors. So before structural reforms in Japan, we are also aiming for expansion in Asia. That's what we have begun to consider.
Satoshi Fujiwara: Okay. Then -- so Karaage or fried chicken or Chahan or fried rice, you have those products. Would there be any change in the positioning of those products?
Shigeo Nakamura: Well, as I said, we are revisiting our categories, especially Gyoza and dumping shumai and chicken and sweets. Those are the major segments. But Gyoza and dumping shumai and sweets, there's still room for growth. As for chicken, well, in the structural reform, we are narrowing down the items, and we are seeing increased profits as a result. So -- but we're not trying to grow this. And frozen rice is the biggest challenge. Osaka plant was closed to enhance efficiency, but there's still challenges to address. And so we have to review this more. So we are shifting towards complete meal, and that's what we're trying to do. And as for rice, you shouldn't just look at Japanese business. In overseas, the rice is more of a mainstay in U.S. and others. And all these are exported from Japan. So in total, there's profits that are generated. But what about -- what to do with rice business in Japan is something that we have to address. So we have to go beyond that. So like -- and by transitioning to complete meals and others.
Operator: The next question, we would like to address the next question. In the interest of time, I would like to limit to only 2 more questioners for today. So the first will be for Furuta-san of SMBC Nikko.
Tsukasa Furuta: This is Furuta from SMBC Nikko Securities. I have a question relating to the outlook for CDMO business in the second half. I'm looking at Page 19. You mentioned that the AJIPHASE shipment delay in Japan was a factor, but I think your performance in the first half was in line with the plan. As for the different initiatives in each region, can you give us some more color for the second half initiatives in this CDMO business?
Shigeo Nakamura: Thank you very much, Furuta-san, for your question. So this will be answered by Otake-san because he's here today.
Yasuyuki Otake: All right. I would like to address your question. Forge, as we explained during the presentation, Forge is enjoying favorable growth, especially towards 2026 and 2027, we are expecting to start the commercialization. We have decided to bring this forward. So with this year, we have incurred some consultation fee, and therefore, the EBITDA positive is quite challenging, but we are still working on this target. And also the sales has increased by 4x compared to the time of acquisition. So we are achieving a very steadfast growth here. As far as the Japanese business is concerned, AJIPHASE, we have a very big growth projection in the future. But compared to that plan, we are slightly behind the plan. But starting this fiscal year, Forge AJIPHASE salespeople are sent there so that with the Forge members and the Healthcare members in North America, we are working together in the sales activities together with them. With this, we have been able to cultivate new customers. So towards the 2030 Roadmap, we are going to make steadfast progress in our actions. For AJICAP and also last year, COYRNEX as well, we have made a press release regarding the collaborative efforts. And with AJICAP, AJICAP has been driving the growth of CDMO business. But in addition to that, AJIPHASE, AJICAP and COYRNEX and Forge. So these are the unique businesses of Ajinomoto, and they are going to be the pillar of our business in the future. So with these pillars, we believe we shall be able to achieve the growth of the company. So the prospects of future is becoming much brighter than before.
Tsukasa Furuta: Okay. Then I have a follow-up question. AJICAP, on Page 21, customer expansion, you're talking about customer expansion, and you are talking about the new client in overseas and also Astellas. So I think -- can you comment on whether the speed of customer expansion is accelerating? Can you talk about that?
Shigeo Nakamura: May I? I'll try to answer that. Yes. Okay. As it's written up here, in October, we have signed up new license agreement with Astellas and another company, 2 companies altogether. So the sales is expanding. In order to further accelerate the sales within Ajinomoto Group, we would like to leverage our internal network. OmniChem, for example, we would like to leverage that network. And in addition to that, the former [ Lonza ] business development chief, we have entered into an agent agreement, a consulting agreement with them. So we would like to leverage those external networks as well so that we can accelerate our customer cultivation efforts. CRO, CMO, we will promote collaboration with them so that we can further increase the number of licensing agreements after -- so that we can -- AJICAP can become a next driver for growth after AJIPHASE. And we believe we have been able to achieve a steadfast progress towards that direction.
Operator: Last question from Nomura Securities, Morita-san, please.
Makoto Morita: Morita from Nomura Securities. I'd like to ask about Seasonings and Food once again. In this presentation meeting, what has become one big theme is action taken against competitors. So from that perspective, why at this timing, the competitive risks have risen. So before the pandemic, getting back to the pre-pandemic level, the Americas, you have increased the profitability margin, and that has driven your profit in your business. But maybe your profitability level has risen too much. That is my concern. Of course, profitability level being higher is good, but this would reduce the entry barrier. So I think your profitability level has risen, especially in overseas. So maybe you're earning too much or it's not unsustainable business or profit level or you have an overhang. What is your thoughts on this possibility?
Shigeo Nakamura: Thank you very much for your question. So profit level and pricing, it won't go up if you don't need the customer value. So you have to increase the customer value and profit margin. So [ Saji ] will explain more.
Unknown Executive: So with regard to profit margin, well, I'd like to answer the question, including that. So with regard to actions taken to competitors, it is very important initiative. Honestly speaking, previously, in Ajinomoto Group, especially for home-use businesses, so we were quite strong. So we -- honestly speaking, we were a bit short in terms of actions taken against competitors. So as I said, in 2023, we had seen these signs. So we have established a competitor response team, several competitor response teams. And one of them is competitors in China. And also, there are some organizations that are taking actions against other types of competitors. So we are very serious in taking actions against competitors, even though we haven't disclosed this yet. And as for China, especially, honestly, it's not just food, but in all industries, the same is happening. So we're not an exception. So with the economic slowdown in China, maybe regardless of supply-demand balance, if I may so, they are taking actions. So we had expected the supply-demand balance to take effect, but actually, they are disregarding this. So we have to be ready and take action with that in mind. And with regard to profitability level or margin, it's not a straight answer to your question, but to Chinese competitors and Ajinomoto, we're looking at the price differences, especially. So what sort of price differences would be allowed for customers to buy our products. If this is too wide, then they will not buy our products. But if this is not too wide, then they will buy from us. So we have learned that from our experience, and we are taking pricing policies. And if that works well, we are defeating competitors in some countries. But in others, we haven't been able to do so. So we are taking more actions. It's not a straight answer to your question, but we're looking at price differences. And the pricing margin or pricing ratio comparison is what we are taking.
Makoto Morita: So in the short term, you are increasing profits in the short term. But in the mid- to long term, that is going to be important. But just for clarification, so the price gap between Chinese players and your company, is it still higher than the optimal level? And maybe you have to make adjustments to match that optimum level. Is that correct understanding?
Shigeo Nakamura: Well, different countries have different situations. For example, in Europe, euro is quite strong now. So with the euro being strong, Chinese players, when they export products at CIF, probably in dollars. So in Europe, there is the tendency that price gap will be widened. So you have to reduce our prices in there. But in Asia, regardless of foreign exchanges, I think things are settling down. So in some countries, we don't have to reduce prices. But in some others, we may have to reduce the prices. So with the collaboration promotion department being playing a central role, we are looking at that.
Makoto Morita: Well, a different question from a different perspective. The food business is -- the consumption is very weak, not just in Japan, but around the world. I think the weakening is more than you are assuming. So with these changes in the business environment, what sort of actions you have to take in your thoughts?
Shigeo Nakamura: Well, the first one, there is difference between Japan and other countries, but it depends on the country that you're talking about. What is -- what we are driving our business in ASEAN compared to the past 5 years and the next 5 years, probably growth rate will slow down. So in ASEAN countries, we have to find a new frontier to compete, and we have already have done that from the 5-star to Cambodia, Laos, Myanmar and Bangladesh, we're shifting our focus to those countries. And same goes for Latin America, like Brazil and Peru to adjacent countries. That transition is what we're taking as an action. And as for Japan, it's not just a Ajinomoto or food manufacturer carbon alone because of population decline, as I said, you have to strengthen exports. So what we produce in Japan is not just delivered to Japanese customers, but to customers around the world. And so that's why we have established export promotion department. So depending on regions and countries for the consumption decline, the actions that we have to take will be different. We have -- I have learned a lot.
Operator: So with this, we would like to finish the Q&A session. So finally, Mr. Nakamura will have the final closing remarks.
Shigeo Nakamura: Well, thank you, everyone, for staying with us for such a long hours. We always would like to maintain this sense of healthy urgency -- healthy sense of urgency, and we would like to drive the company on a continuous basis. We look forward to your continued support and patrons. Thank you very much indeed for today.
Operator: With this, we would like to finish the earnings call for today. We thank you very much for your participation. This is the end of today's session. Thank you. [Statements in English on this transcript were spoken by an interpreter present on the live call.]